Operator: Ladies and gentlemen, good afternoon, and welcome to the ManTech First Quarter Fiscal Year 2019 Earnings Conference Call. [Operator instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Stephen Vather, executive director, corporate development.
Stephen Vather: Welcome, everyone. Thanks for participating on ManTech's first quarter call. On today's call, we have Kevin Phillips, president and CEO; Judy Bjornaas, executive vice president and CFO; as well as Matt Tait and Rick Wagner, our two group presidents. During this call, we will make statements that do not address historical facts, and thus are forward-looking statements made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to factors that could cause actual results to differ materially from anticipated results. For a full discussion of these risk factors and other risks and uncertainties, please refer to the section entitled Risk Factors in our latest Form 10-K and our other SEC filings. We undertake no obligation to update any of the forward-looking statements made on this call. With that, I would like to turn the call over to Kevin.
Kevin Phillips: Thanks, Stephen. Good afternoon, everyone. I'm pleased with the solid start to 2019. In the quarter, ManTech exhibited consistent organic revenue growth, combined with improved profitability and strong cash flow generation. Our strategy coupled with the continued contributions of our dedicated employees are driving the operational and financial success of the business. Our focus remains steadfast on capitalizing on an opportunity-rich market by delivering innovation and leveraging our portfolio of differentiated capabilities across the federal market. The budget market environment remains strong across core customer and capabilities. In mid-March, the president released this FY '20 request for $718 billion for the Department of Defense, a 5% increase from the prior year. The request marks the fifth consecutive year of steady, total budget growth with priority funding for strengthening the nation's position across all war fighting domains, but particularly in space and cyber. The focus on cyber, however, goes beyond just the DoD. It is pervasive across the federal government as evidenced by the unclassified cyber budget growth to over $17 billion. Furthermore, the intelligence community is expected to grow 6% in FY '20 with the national intelligence and military intelligence budgets rising to $86 billion in the aggregate. ManTech is well-positioned in these customers and has the depth and breadth of capabilities that are in high demand. Shortly following Q1, we closed our acquisition of Kforce Government Solutions, or KGS. I'm pleased to welcome that over 500 talented employees into the ManTech family. The acquisition follows our strategy of a selective expansion of our federal civilian business. The company primarily enhances our position at the Department of Veterans Affairs by bringing not only the key IDIQ vehicle to be competitive in that customer, but also a strong customer intimacy, mission knowledge and task performance capabilities, the key ingredients for long-term success. The integration is off to a great start. We're already seeing new pipeline opportunities emerge as a result of this combination. I look forward to leveraging the combined capabilities and customer relationships for future growth. Our balance sheet continues to offer us the flexibility for additional acquisitions. We remain focused on acquiring companies that are well-positioned in high growth markets, with differentiated capabilities that enable us to accelerate growth for ManTech. Turning to business development, in the quarter, we saw $556 million of contract awards, resulting in a book-to-bill ratio of 1.1 times. In Q1, approximately 30% of the awards represented new work for ManTech. The majority of bookings in the quarter came from sole source expansions and extensions, with classified customers who exhibited a strong, continued appetite for ManTech's offerings. Backlog at the end of the quarter was relatively steady at $8.4 billion, and funded backlog grew 12% sequentially to $1.5 billion. Proposals outstanding remained at $4 billion. Our opportunity pipeline overall remains healthy and continues to track well over $20 billion. We have a continued expectation of submitting approximately $10 billion in proposals for the full-year. Additionally, we see both an accelerating cadence of proposal activity and contract adjudications throughout the balance of this year. Before I turn the call over to Judy, let me close with this thought, we are continuing to aggressively invest against two objectives: The first, to provide our customers with the innovative and differentiated capabilities and solutions to meet their most challenging mission requirements; and second, providing an environment that enriches and develops our employees, as well as attract the very best talent in the industry. ManTech's focus on commitment to our customers, their missions and our employees is the recipe for our financial success. Now Judy will discuss the detail and specifics of our financial performance and outlook. Judy?
Judy Bjornaas: Thanks, Kevin. The financial results in the quarter surpassed our expectations. Revenue for the first quarter was $502 million, up 6% organically compared to the first quarter of 2018. Direct labor continued to show strong growth and tracks very closely to our top line growth. For the quarter, prime contracts represented 89% of our revenues and contract mix was approximately 72% cost-plus, 19% fixed price and 9% time in materials. Operating income for the quarter of $28.5 million was up 8% from the first quarter of 2018. Quarterly operating margin was 5.7%, a 10-basis-point improvement year over year. Net income was $21.1 million and diluted earnings per share were $0.53 for the quarter, up 5% and 4% year over year, respectively. These increases were driven by our revenue growth and improved margins. Now on to the balance sheet and cash flow statements. Our balance sheet at quarter-end showed $121 million in cash and $96 million of debt to pre-fund our $115 million acquisition of KGS, which closed on April 1st. During the quarter, we generated $47 million of cash from operations or 2.2 times net income. DSO was 70 days for the quarter, a three-day improvement sequentially. The board has authorized us to maintain our current quarterly dividend of $0.27 per share to be paid in June. Now on to our revised 2019 outlook, based on our performance to date and the acquisition of KGS, we are raising the range on revenue, net income and diluted earnings per share compared to what we previously communicated. We're now looking for revenues between $2.13 billion and $2.21 billion, which represent 9% to 13% total growth compared to 2018. The revised revenue range maintains the 7% organic growth rate at the midpoint of guidance. We continue to have very high visibility for the balance of 2019. Achieving the higher end of the revenue range will be contingent on the timing and pace of material procurements, as well as the ramp up of our recent and any new contract awards. We continue to expect operating margins between 5.8% and 5.9% for the year. At the bottom line, we expect net income between $88.9 million and $93.9 million, and diluted earnings per share of $2.21 to $2.33. We still expect capital expenditures to be up to 3% of revenue and related depreciation and amortization to be between 2% and 2.5% for 2019. Our cash flow from operations estimate remains between 1.4 times and 1.7 times net income for the full-year. Built into our guidance are a full-year effective tax rate of 25.8% and a fully diluted share count of 40.3 million shares. Now Matt will speak to our defense and federal civilian business.
Matt Tait: Thanks, Judy. ManTech mission solutions and services had a good start to the year. The opportunity set across our defense and federal civilian customers is robust. As Kevin has stated on a number of calls, our customers are focused on speed in innovation, coupled with the insertion of new technology to meet mission requirements. As a result, we are seeing an increased volume of Other Transaction Authority, OTAs, being utilized across our defense customer base. Now to some quick operational highlights. I am pleased to report that we won a new five-year, $128 million contract award to provide program management and engineering services, supporting customs and border protection. This contract adds to our strong presence of supporting Department of Homeland Security, and I remain focused on continuing to expand our footprint with customers protecting the homeland. Secondly, we are continuing to invest in innovation. In the quarter, we opened an R&D warfare laboratory to support Naval Surface Warfare Center Crane Division in Indiana to support the research and development of advanced weapons systems and cyber warfare capabilities. I look forward to the innovation our people continue to bring, not only in these efforts mentioned, but really across the company. Kevin mentioned that KGS integration efforts are going well, and I just wanted to reiterate how excited we are to be adding new talent to ManTech family in line with our strategic objectives. Rick, over to you.
Rick Wagner: Thanks, Matt. I'm pleased to report that MCIS had a successful quarter in winning new work, retaining recompetes, ramping recent awards and showed strong continued program execution across our portfolio. I'm excited to report that in the quarter, we won over $350 million of contract awards in the form of re-competes, expansions and extensions with the various classified customers to provide a full range of capabilities, including: cyber, insider threat, enterprise IT and systems engineering and integration. Furthermore, we won a position on the Army Program Executive Office, Intelligence, Electronic Warfare and Sensors R4 multiple award IDIQ contract. The contract is a 10-year vehicle, with a $982 million ceiling to provide cyber and electronic warfare services and solutions. This award and others that we won in the quarter showcase customers' healthy appetite for ManTech's robust cyber capabilities and the innovation our team brings to challenging mission problems. Operationally, we continue to execute well with our recent awards and the focus on recruiting and retention is resulting in direct labor growth. We're continuing -- ramp the large Department of Defense agency contract we won in mid-2018, and remain ahead of schedule. Lastly, customer demand, as evidenced by our new business pipeline, remains strong. In summary, ManTech is well-positioned for continued growth based on our recent contract awards and strategic acquisition. We remain excited about the market environment and are ever focused on enhancing ManTech's competitive position. With that, we are ready to take your questions.
Operator: Thank you. [Operator Instructions] And our first question will come from the line of Gautam Khanna with Cowen and Company. Your line is now open.
Unidentified Analyst: Hi, everyone. It's Lucy [ph] on for Gautam.
Kevin Phillips: Hi.
Unidentified Analyst: First question -- hi, just on your increased guidance, it sounds like -- so at least the revenue portion of it, reflects the KGS acquisition, obviously. But even on the organic growth, I know we're only one quarter into the year, but just given the strong bookings and the new business as a percentage of bookings, how much of it is -- some of it is probably conservatism baked in, can you talked to what you're expecting in terms of new work ramping up that could also be a part of it?
Judy Bjornaas: Yes. So basically, Q1 kind of came in along our expectations. So the majority of the guidance adjustment is just related to KGS. We narrowed the range slightly, moving up the bottom more than the top to show a little more certainty kind of to your point about the ramp of new business, but I think we're still online, the midpoint of our guidance is still about a 7% operating -- or organic growth rate for the year. So we're just marching along as expected.
Unidentified Analyst: And so, you've reiterated margin guidance. Is there any shift in contract mix that you can foresee just given the mix of bookings that came through?
Judy Bjornaas: Nothing meaningful yet as the contracts that Rick mentioned, the DoD managed services contract, ramps. That is fix price. So as that becomes more meaningful, along with some other wins in the quarter, it will shift a little bit, but nothing that's been a meaningful change to date.
Unidentified Analyst: That's good to know. And can you maybe just address the changing competitive landscape? There seems to be a number of these multibillion dollar opportunities for enterprise IT as a service type of work. How can ManTech participate in this new environment?
Kevin Phillips: Yes, it's Kevin. So there are a number of them that we can compete in and others that we, frankly, are not going to compete in based on their size and scale. So that said, the ones that are out there are fairly consistent in terms of having companies -- or customers having already gone into the process of consolidating. That said, we have strong cash performance with recent contract awards and outcomes-based and outsourced IT services. And we're going to use that to selectively go after targeted procurements and I think that we have the passion and performance to compete on any level based on our current work.
Unidentified Analyst: That's great. I will pass it on. Thank you.
Judy Bjornaas: Thanks.
Operator: Thank you. And our next question will come from the line of Edward Caso with Wells Fargo. Your line is now open.
Edward Caso: Hi, good evening. I'd like to talk a little bit about the supply side of the equation, your ability to attract and retain employees. How you're doing on your targets for ads? What trends are you seeing in employee attrition? And then maybe separate that between cleared and non-cleared people? Thanks.
Kevin Phillips: Yes. First, majority of our folks are cleared. So we heavily focus on that. I think it's over two-thirds of our folks have secret or above clearances. So I'll mainly speak to that, but the overall effort to improve clearances is continuing to move, the executive order around that came out. So longer-term, we see shifting to where the ability to get trusted talent will increase and improve over time. The technical talent is still going to be a challenge. We're very focused on that. That's why, frankly, we have these internal training programs in internal degree programs to be able to take the veterans and reposition them, for those who have interest, into the higher demand fields. And the turnover remains fairly steady. The market remains fairly steady. And I think we're in a good position just based on our contract work and the type of work we do to get the talent we need to meet customers' requirements.
Edward Caso: Was there anything special in the margin or revenue? Did any revenue get pulled forward or pushed out? And were there any outsized contract adjustments that impacted the quarter? Thanks.
Judy Bjornaas: No, nothing significant.
Edward Caso: Great, thank you.
Kevin Phillips: Yes.
Operator: Thank you. And our next question will come from the line of Joseph Vafi with Loop Capital. Your line is now open.
Joseph Vafi: Hey, guys. Good afternoon. I thought we would just talk a little bit on the bookings number for the quarter. Obviously, not a seasonally strong bookings quarter, in general, the March quarter. Was this about in line where you thought based on the bids that you had submitted? Or were there any other moving parts that ended up with the result that we ended up with in the quarter on the bookings number?
Kevin Phillips: Yes. So, Joe, generally in line, but I would say that one of two areas that the government shutdown impacted was the timing RFPs and the timing of awards. We always have variability quarter to quarter. Again, we're expecting strong submit and strong booking year -- and the timing of those is going to be variable, but in line generally, with a little bit of delay based on the shutdown and the impacts of that.
Joseph Vafi: Okay. Fair enough. And then -- I know you mentioned the OTAs and that being positive driver for the business here moving forward. How is that going to show up in the backlog? And is it going to show up mostly in funded backlog? Or is it going to be kind of intra-quarter type of business and so it kind of is won and it burns off from backlog intra-quarter, just curious on that.
Matt Tait: Sure. So this is Matt. On the OTA side, what we're really seeing is -- this is our customers using this in kind of an experimental way. So a lot of the OTAs that we're seeing just the beginning parts of programs so they're really not that significant in terms of revenue to start, but they are like the leading edge of larger programs, or could be the leading edge if the customer decides to go that direction, I should say.
Joseph Vafi: Okay.
Kevin Phillips: So I'd add, the important part of that, real quickly is the desire for them to go at speed toward capabilities and the desire for innovation. So those are very strong trends, and that's the vehicle within the DoD they're trying to move toward, change in the capabilities fairly rapidly.
Joseph Vafi: Okay. And then I wanted to finally -- I know the funded backlog was up pretty nice sequentially. Is there any read-through there into the cadence of the top line over the next few quarters? Or is it kind of just general variability and funded backlog?
Judy Bjornaas: Mike, it's just general variability. I think it's they've got more confidence now, they are past the shutdown and so they are just getting dollars obligated for this fiscal year.
Joseph Vafi: Okay. Thanks, Judy.
Judy Bjornaas: Uh-huh.
Operator: Thank you. And our next question will come from the line of Joseph DeNardi with Stifel. Your line is now open.
Joseph DeNardi: Hey, good evening. Kevin, you mentioned the budget I think being supportive of your strategy and kind of where -- where you're positioned across the customer. Is there anything that stood out kind of one way or the other from the budget that, I don't know, maybe people aren't paying attention to enough?
Kevin Phillips: Just a couple of things, if you think about the unclassified cyber budget going up and the restating that, those are important indicators, and I think that cyber as a domain warfare will continue to be an increasing focus along with space. That is basically stated in the FY '20 DoD budget. So we need to track that closely as to how that plays out. And also, there's desire for rapid innovation. And if you think about the stated desires within the FY '20 budget, I think those are going to be favorable. So generally, the demands within the customer sets are areas that are core to what we do, and we're very excited about being in types of work that we do based on the demand that we see next -- this year and next based on the budget.
Joseph DeNardi: Okay. That's helpful. And then just in terms of the M&A strategy. As a buyer in the market, can you talk about how you think about the risk to valuations and multiples, given kind of the political uncertainty over the next few years and potential changes at the administration? How you think about that risk as a buyer?
Kevin Phillips: Sure. For most of what we look at it's the combination of the company that we acquired, merged into ManTech and our own capabilities to go after larger procurements as a prime contractor. So we look very closely at the current budgets, the out-year budgets and the trends, the desire to protect the cyber domain and digital capabilities for digital risks is universal. It doesn't matter what side of the aisle you're on. And I think that that overall demand is only going to sustain or increase the need to secure space as an area of -- domain of interest based on the overall risk that's going to maintain itself in my view. So I think that we're in a fairly good stead regardless. And if you think about our overall portfolio, we are continuing to focus on federal civilian select, federal civilian agencies, as well as the federal healthcare agencies as well because those are going to be high-demand areas regardless. So we think we're in a good position to grow through any changes either direction from the Congress in -- in the next few years.
Joseph DeNardi: Thank you.
Kevin Phillips: You're welcome.
Operator: Thank you. Our next question will come from the line of Robert Spingarn from Credit Suisse. Your line is now open.
Robert Spingarn: Hi, good afternoon.
Kevin Phillips: Good afternoon.
Robert Spingarn: I wanted to go back to the revenue guide improvement. And with KGS, I guess, it's about $100 million a year in sales, and you've -- you're going to have it for 75% of the year. I noticed that the -- in your guidance increase, and I guess, this can be looked at a number of ways. But the high end went up by $60 million, low end went up by $80 million. Is there anything going against you in the other direction with that $60 million increase?
Judy Bjornaas: No. I think we're in a very strong position. At the midpoint, we think about 90% of the guide is in backlog. It really comes down to the timing and the amount of material procurements that our customers make over the course of the year, andd then the ramp on existing and new contracts.
Kevin Phillips: And I'd note that delays from the shutdown in proposal activity, in terms of just that delay, it's just basically to say -- we don't know how quickly that will pick back up, so let's factor that in.
Robert Spingarn: Okay. And then you did talk, Kevin, about accelerating contract adjudications this year. And you were just asked a few minutes ago about bookings, but with this year, given the shutdown maybe pressured Q1 a little bit, should this year look like last year where Q2 and Q3 really have the strength and then the Q4 is maybe a little lighter? Do you see this rising throughout the year or is it just unpredictable?
Kevin Phillips: I think it's fairly ratable for the next three quarters, but there might be delays, there might be protests on contract awards and those are the uncertainties that we see. But the desired timeline for submits, as well as awards is a little bit more ratable by quarter over the next three quarters.
Robert Spingarn: Okay. And then the other thing I wanted to just touch on here is with the KGS' big VA contract, you've talked, I guess, this is Transformation Twenty-One contract, that points more toward civil. And I wanted to ask you about what the long-term trends are, in your view, civil versus defense? And how you -- maybe five years down the road see the business segmented civil versus defense?
Kevin Phillips: Sure. So, okay -- so broadly, we think that homeland security, Department of State and federal health are areas that need technology transformation, that need protection in a number of fronts, whether that's for diplomats or for our citizens, and there's going to be continued growth in all of those. Specific to the federal health side, we do think that ManTech has a lot of capabilities that can be applied into that market and the contract vehicle itself. And our ability to bring our capabilities and the strong capabilities that KGS have are going to be very favorable for us to be able to participate in the veterans' administration activities. And remind you that about half of our employees are veterans, so that matters to us. Not only as a growth market, about 9% growth in budget, 3% IT in the VA, but it's a core customer and a core constituent that matters to us. I'll let Matt speak to the federal civilian market.
Matt Tait: I think for the federal civilian market, what we see is a pretty robust set of offerings for -- that we're bringing to the market that our clients want to buy. So when you look at the market, federal civilian, we think that there's a lot of potential there and a robust pipeline that we're going after.
Robert Spingarn: Okay, thank you very much.
Kevin Phillips: Thank you.
Operator: Thank you. And our next question will come from the line of Brian Kinstlinger with Alliance Global Partners. Your line is now open.
Brian Kinstlinger: Great, thanks. Good evening and taking my questions. Can you talk about the competitive landscape of the VA IDIQ? For example, how many contracts are there? What percentage of revenue maybe is it, of the acquisition? And is there an opportunity in your view to expand market share based on ManTech now on owning KGS?
Kevin Phillips: Yes. So there are step levels of owners of the vehicle, but the vehicle has about a $22 billion ceiling that goes through 2026. There are number of our peers that are holders of that. And basically, I'd say we have nine or so competitors of the large that we are tracking. And for us, it's wide-open space, right? We have great capabilities, we understand the technologies they need and we're hoping to be able to enter that field and complete at the same level as many of our peers for that new work.
Brian Kinstlinger: I guess, what I'd like to understand is how they underperformed on the vehicle and you think you can do much better? Are they performing well and you think by owning them, you can do better? I'm just trying to understand, I know you have access to it, but was it a 10% contract or more for them? Or was it underperforming and you'll do better on it?
Kevin Phillips: Yes. I wouldn't say that it's underperforming. Like any IDIQ contract, every task order that's awarded, there may be strong performance or underperformance. We have, I'd say, about $2.5 billion worth of pipeline within that that we're focused on based on our capabilities. And we are capability focused into that market, which we think -- those capabilities that we offer will provide differentiation for those bids that we take on over the next few years.
Brian Kinstlinger: And can you confirm -- is it the largest contract they have in terms of revenue?
Judy Bjornaas: We don't give out that level of information, Brian.
Brian Kinstlinger: OK. And then I have two more questions. One is, has KGS been posting revenue growth in the last year or two? Have they been flat? Have they been declining?
Judy Bjornaas: Brian, we can't really comment on that. That's another company's public disclosures and I think we bought them for the future, not the past.
Brian Kinstlinger: Okay. And then just lastly numbers -- I missed it, if you can provide the awards awaiting adjudication and plan submissions? I just didn't get it down.
Kevin Phillips: I guess, for this full-year we're expecting about $10 billion number of submits, and we have $4 billion proposals outstanding at end of the last quarter.
Brian Kinstlinger: Great, thank you.
Kevin Phillips: Thank you.
Stephen Vather: Brian, it appears that we have no further questions as this time. As usual, members of our senior team will be available for any follow-up questions. Thank you all for your participation on today's call and your interest in ManTech.
Operator: Ladies and gentlemen, this does conclude today's conference. Thank you for your participation, and have a wonderful evening. You may all disconnect.